Alexis Bonte: Good morning, and welcome to the Stillfront Q4 Presentation. I am Alexis Bonte, the CEO of Stillfront. I'm joined today by our CFO, Emily Villatte, who joined us in December. I would like also to take the opportunity to thank Tim Holland for his work as interim CFO during 2025. As we summarize the first quarter of 2025, I am pleased to report that Stillfront is delivering margin expansion despite revenue decline. We successfully expanded our adjusted EBITDAC margin to 27%, up from 25% in Q4 last year despite an organic revenue decline of 9%. This follows our cost savings efforts during the year, disciplined deployment of UAC alongside the continued rollout of our direct-to-consumer channel. Looking at our business areas. In Europe, we delivered a big franchise new game launch with early positive signs, and we divested our noncore narrative portfolio, which has been impacting our organic growth. In North America, the continued revenue decline reflects a deliberate strategy of prioritizing cash flow and efficiency over short-term volume. MENA and APAC delivered strong results with 7% organic growth. Now let's dive into the details. So first, turning to Europe. Net revenue in BA Europe landed at SEK 622 million for the quarter. That represents an organic decline of 6%. The revenue performance in Europe has been heavily impacted by the narrative games portfolio. And in late December, we concluded the divestment of the narrative franchise for a total consideration of $4 million. That reflects a 4x EBITDAC multiple for that portfolio. So excluding the narrative portfolio, organic growth for BA Europe was actually flat in the quarter. In December, I'm happy to announce the release of the new game Big Farm Homestead. The game did not have material revenue impact in the quarter, but early performance metrics were encouraging. You will note that user acquisition costs correspond to 37% of net revenue, which is higher than the 31% we saw last year. This is -- this reflects a deliberate choice as we increased UA within the big franchise to capitalize on the good momentum there. The Supremacy Warhammer 40,000 game, which was expected to launch in the middle of Q4 2025, did not meet yet the higher quality thresholds that we now report to ensure a strong launch. And therefore, we're polishing the game a bit more. We're adding some content, and we'll launch it later in the year. Adjusted EBITDAC for BA Europe came in at SEK 94 million with a margin of 15% in the quarter. The lower margin compared to last year is primarily due to the lower revenue volume combined with the increased growth investments in UA, particularly in Q5 towards the later part of the quarter. Moving on to North America. Net revenue for the quarter came in at SEK 197 million, corresponding to an organic decline of 31.3%. The decline was driven by our commitment to focus on profitability and cost efficiency over short-term revenue growth. While our volumes are lower, the quality of our revenue in North America has improved. Gross margin increased to 83%, up from 79% last year. A key driver here is the accelerated rollout of our direct-to-consumer channels in North America. Following successful Webshop integration in Bitlife in Q3 and the Home Design franchise in Q4, direct-to-consumer bookings now account for 24% of the total, a significant jump from just 7% in Q4 last year. And during the quarter, we have exercised continued strict cost discipline. User Acquisition Costs were reduced to SEK 88 million compared with SEK 258 million in the same period last year. Personnel expenses were up to SEK 30 million, down from SEK 60 million before, and that demonstrated the full effect of the cost savings program that we implemented, in particular, Storm8 and Super Free. The result of these actions is a clear turnaround in profitability for North America. Despite the lower revenue base, adjusted EBITDAC increased to SEK 23 million for the quarter, up from SEK 6 million last year, and this translates to a margin expansion to 12% compared to just 1% a year ago. And full year EBITDAC was up from SEK 100 million to SEK 108 million in North America. Finally, let's look at MENA, APAC, which delivered a very strong performance this quarter. Net revenue amounted to SEK 537 million, representing a solid organic growth of 6.6%. This was primarily driven by the continued strong performance of our Jawaker and Board franchises. In addition, we see the structural effects of transferring the word franchise from North America to this region, which has increased the total revenue base. User acquisition landed at SEK 40 million, corresponding to 8% of net revenue. This is slightly higher than last year where we're at 5%, and which is natural given the inclusion of the Word franchise as that portfolio carries a structurally higher UAC level. So the combination of organic growth and cost control has resulted in the high profitability. Adjusted EBITDAC grew to SEK 288 million. This delivers an impressive margin of 54%, an increase from the 51% of last year. And now I'm going to hand over to Emily for the financials.
Emily Villatte: Thank you, Alexis, and good morning, everyone. It's really great to be here finally. Okay. Let's talk through the group financial results for the fourth quarter. We reported net revenues of SEK 1.356 billion for the quarter, representing an organic revenue decline of 9% year-over-year. While revenues were down, our strategic focus on our direct-to-consumer channel has been yielding results and our gross margin increased by 3 percentage points year-on-year, reaching a strong 83%. DTC revenue now accounts for 45% of bookings, which is a proper step-up from the 34% we had in Q4 last year. And this is strengthening not just our margins, but also our direct engagement with our player base. User acquisition spend for the quarter was SEK 356 million, down from SEK 504 million a year ago. And as a percentage of revenue, UA spend was 26% in this quarter, down from 30% in Q4 of 2024. And this shift was primarily driven by our North American business area, as Alexis just mentioned, where we have refined our strategy to prioritize long-term profitability over low-margin revenue. Moving on to profitability. Adjusted EBITDAC was SEK 368 million in the fourth quarter compared to SEK 410 million last year. And as noted in the report, you will have seen that the adjusted EBITDAC decline was driven by FX headwinds of approximately SEK 45 million explaining that shift. Despite the decrease in revenue, our adjusted EBITDAC margin amounted to 27% in the quarter, up from 25% last year. And this margin improvement is a direct result of, firstly, our successful cost savings program, which was concluded in Q3, but also our DTC focus and rollout of that channel and, of course, disciplined approach to user acquisition spend. Moving on to cash generation. Our free cash flow for the quarter was SEK 290 million, bringing our LTM free cash flow to SEK 922 million. And let's have a closer look at those cash flows. Overall, in 2025, we had a strong cash generation, allowing us both to deleverage and fund our earn-out obligations as well as to self-fund the investments that we're making into the business. In the quarter, cash flow from operations were SEK 440 million, which included a positive working capital movement of SEK 62 million, primarily driven by phasing of payments for user acquisition spend towards the end of the quarter. Cash flow from investing activities was SEK 122 million, and this primarily reflects our continued investment in product development, of course, which was slightly offset by the divestment, Alexis mentioned, of our narrative portfolio amounting to USD 4 million, USD 2.5 million of which was settled in 2025. Cash flow from financing activities of SEK 371 million in the quarter were mainly driven by first debt repayments of SEK 234 million, but also share buybacks of a total of SEK 146 million in the quarter, in line with the share repurchase program we announced in conjunction with the Q3 report. On an LTM basis, we generated a robust SEK 922 million in free cash flow for the full year 2025. And if we break that down, SEK 583 million of that went towards earn-out cash payments in the year, minority buyouts and the divestment of the narrative portfolio. SEK 273 million was directed towards deleveraging. And additionally, we completed a total of SEK 248 million in share repurchases over the full year. Now you will have seen no doubt that we did take a noncash goodwill impairment in the quarter. And this follows our annual impairment test, which did result in an impairment totaling just under SEK 2.3 billion related to goodwill write-downs in business area Europe and other acquisition-related intangible assets in business area North America. Turning now to our financial position. We ended the fourth quarter with a total net debt of SEK 5 billion, which is a significant SEK 1.1 billion reduction from the SEK 6.1 billion in total net debt we had in the prior year. This, of course, reflects our commitment throughout 2025 to settle our earn-out obligations and to deleverage the balance sheet. In terms of our net debt, including next 12 months cash earn-outs, it decreased from SEK 4.7 billion in Q4 of 2024 to SEK 4.2 billion in Q4 of 2025. And even with this decline that we've seen in the full year reported EBITDAC, we did achieve a decrease in our leverage ratio, which was 2.02x EBITDAC in Q4 of 2025, down from 2.1x EBITDAC in Q4 of 2024. And looking at our maturity profile in the center of this slide, you will note that we have no material debt maturities until 2027. So with that being said, I would like to hand back to you, Alexis.
Alexis Bonte: Thanks, Emily. You will have seen that we today also announced a change to our segment reporting structure effective from the first quarter of 2026. During this year, we have made progress in focusing our North American business by transferring and closing games where it made sense. We have divested our narrative portfolio, as we've already said. And so following these developments and in line with our strategy to focus on our key franchises, we have aligned our reporting structure to reflect this. Going forward, we will move from geographical segments reporting to consolidated group reporting. This will be complemented by a set of clearly defined alternative performance measures to provide greater transparency into the performance and development of our key franchises, which are really the important part here. We have started by including our key franchise revenue data in the financial data pack that is reported alongside the Q4 report, and I would encourage you to have a look at those. Our key franchises will have the following: more than SEK 200 million of annual revenue and the consistency of core experience, a clear product pipeline and long-term growth potential, a common base of technology and game mechanics and recognizable and scalable IP. For our other games that do not fall within the key franchise grouping, we'll be focusing on product and operating efficiency to yield healthy cash flows to the group. As a business, we step into 2026 more focused, continuing the work of making incremental improvements to our operations. We'll be increasing our focus and reporting transparency related to our key franchises. We will continue to assess the performance of our games portfolio and we'll undertake measures, including sunsetting games where necessary. We will continue to make disciplined investment decisions and delivering healthy cash flows. In parallel, with our focus on day-to-day operations, the strategic review initiated in April of 2025 continues and the divestment of our narrative portfolio will improve our organic growth profile and allow us to redeploy resources towards higher potential projects. I appreciate the patience and trust that shareholders have shown during this process. On the final note, I want to thank the Stillfront team for the dedication and resilience they have shown during a year which has seen significant change. I am looking forward to 2026, and we'll approach it both with continued discipline and ambition. And now I suggest we open it for questions. Thank you very much.
Operator: [Operator Instructions] The next question comes from Nick Dempsey from Barclays.
Nick Dempsey: So just in terms of your commentary for 2026, so can we assume that you are aiming for an improved rate of organic revenue -- organic net revenue growth, in other words, less of a decline. Is that what you're shooting for in '26? And in terms of your commentary on investments, can I try and understand -- can I try and understand what that could imply for EBITDAC margins, whether we're talking about those going down or stable or up or whatever you can say about that to make that a little bit more precise? And then just a final thing. In terms of the other games, we're looking at the key franchises and then we have other games. how much of that is some of the U.S. franchises that we know have been challenged for multiple years versus how much of it is some other areas where there's perhaps a bit more hope.
Alexis Bonte: Emily, why don't you start with the organic growth and invest may be back and I can talk about the other games and core.
Emily Villatte: Absolutely. Let's do that. And I think you're right, Nick, to note that we've had a year of varied trading performance. We've had double-digit organic decline in 2025, 9 percentage points organic revenue decline in Q4. And we're, of course, aiming to take the business back to organic growth over time. You will have noted our notes around making incremental improvements to the business holistically to continue on that path. Of course, different quarters can have variations, and we will not give sort of a quarter-by-quarter forecast, but the holistic ambition is, of course, to get back to organic growth over time by doing incremental improvements. When it comes to the EBITDAC margins, looking at those on a quarter-by-quarter basis is sometimes misguided, for example, when you have a quarter where you have the opportunity to deploy more UA spend, capturing opportunities to drive future organic growth. So whilst our margin might fluctuate quarter-by-quarter, we are holistically aiming to make disciplined investments to support us on this path back towards organic growth.
Alexis Bonte: Do you want to answer on the EBITDAC as well, I mean?
Emily Villatte: Yes. When it comes to EBITDAC, I think our general comments there are that we will make disciplined investments to support this business back to organic growth. We're not going to guide on EBITDAC margin quarter-by-quarter. But for example, we've seen early positive signs from our big franchise Big Farm Homestead launch and where we see opportunities to deploy UAC in a disciplined and way that meets the robust criteria for those campaigns, we will deploy that to support the growth ambitions for the company.
Alexis Bonte: I think to build on what Emily has said, really, if you look at 2025, 2025 has been a turnaround year. We've really been focusing on setting the business straight with the right priorities back to a healthy level is difficult for North America, but also making some of the required things that we have to do for -- in Europe. Of course, we've got EMEA and APAC that is continuing being very strong. What we're seeing is 2026 is really going to be kind of more of an investment year. We're seeing, as I said, encouraging signs with new game launches such as Big Farm in Europe. And that's something that we will see what kind of UA we can deploy around that, but there are some. But again, as Emily said, the objective is over time to return to organic growth. In terms of your question for the other games, and if most of that is the U.S. franchises. Actually, there's -- one of the U.S. franchises, Bitlife is one of our key franchises. We have a clear path in terms of how that franchise can grow. We're seeing -- we saw a good update to that franchise by putting a full accounting system that allows us to do a lot more live operations that we're not able to do with Bitlife. And we've also had a successful Vampire update, which is something that the comm really, really wanted to see. So that's been working. But we do have in other franchises, the Home Design Makeover franchise. where we've actually done a complete change of the economy, and we are seeing some improvements, but we still want to see more work being done there, and we want to see a bit more KPIs before we decide if that's a franchise that is -- that we should basically be investing more in or not. So we're being very, very focused and very disciplined about what we consider a key franchise and what we consider something that is not a key franchise.
Operator: The next question comes from Rasmus Engberg from Kepler.
Rasmus Engberg: I was just wondering with regards to the cash flow, how do you see that being able to maintain roughly the current levels? Or what's the ambition for the current year?
Alexis Bonte: Do you want to take that?
Emily Villatte: I love cash. I'll be delighted to take that question. We are, of course, aiming to maintain very healthy cash flows within the business. This has been one of our core strengths. When it comes to our core KPIs, we have not only market-leading EBITDAC margins, but we also have strong cash conversion from that baseline, and we have consistently delivered very healthy cash flows. And we, of course, want to continue to be a business that has strong healthy cash flows moving forward. You will have seen that in 2026, we have no debt maturity. We do have an earn-out obligation that we're due to settle. You will have seen that in our report. And the final earn-out obligation comes in 2027. So with no debt maturity in 2026, we are hoping to be able to utilize our free cash flows in an efficient way, both for earn-out obligations for deleveraging and to continue to fund the investments into the business that set us back to organic growth over time. So maintained healthy cash flows.
Rasmus Engberg: Right. And with your new reporting structure, how do you sort of think about that in 2026? Is it continued like single-digit organic growth in the core franchises and continued big decline in the rest of the business? Or how do you sort of -- how do you think about that?
Alexis Bonte: Yes. I think I'll start and then Emily, maybe you can build on that. We're looking at these key franchises, and we're seeing that we have the -- basically the density in terms of the team, the talent density to really kind of make them work and really be winners in the market. So we think that these key franchises are franchises that we can grow not only for the short term but over the long term. So that's what we're seeing. What we're seeing that is not in the core franchises are basically games that we feel are more about either optimizing for cash flows or potentially we'll also have some experiments in there. So that kind of allows us to really organize better how we're doing things. Also, a lot of the questions that we kept having was like what are the kind of the core -- how are the core franchises performing, how are the core games performing at Stillfront. And we think this is -- with this reporting, we're really giving you that transparency so you can understand how Jawaker is performing. You can understand how the Board franchise is performing. You can understand how the Supremacy franchise is performing year-on-year and quarter-on-quarter. And I think that will allow you to much better understand the business, and it also is a much closer and much more kind of accurate description of how we're actually running this games company. Emily, do you want to build on that?
Emily Villatte: I think that's comprehensive. Nothing further to...
Rasmus Engberg: So it looks -- I mean, we have very little history here, but it seems that what we're seeing is a maintained UA spend in terms of relative to revenues in the core franchises and then a decline or a low level in the other games. Is that sort of what we could expect going forward as well.
Emily Villatte: That's a correct reflection of the numbers that we just posted this morning. And with Alexis' guidance on the focus on our key franchises, key investments, not just in product development, but deploying UA spend towards those key franchises as well. That is our strategy.
Rasmus Engberg: And the question that many investors think about the strategic review, should we see that as now clearly indicating that it's not among the key franchises that we should expect a deal? Or is it disconnected from that?
Alexis Bonte: So basically, as I've said before, so we -- the strategic review is still ongoing. The latest development of review has obviously been the sale of the narrative games, which were holding back our organic growth. But as I said before, we still consider that we should have everything on the table that we believe can create shareholder value in the best way, but we've been quite disciplined in making sure that we're focusing on selling first the things that we think are holding us back.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Alexis Bonte: Thank you very much for your questions, and thank you for joining the Q4 Stillfront report, and have a great day. Thank you. Bye-bye.